Operator: Ladies and gentlemen, thank you for standing by, and welcome to the First Republic Bank Second Quarter 2011 Earnings Conference Call. During today’s presentation all parties will be placed in a listen-only mode. Following the presentation the conference will be opened for questions. (Operator Instructions) This conference is being recorded today, Wednesday, July 20, 2011. And now, I would like to turn the conference over to Dianne Snedaker, Executive Vice President and Chief Marketing Officer. Please go ahead ma’am.
Dianne Snedaker: Thank you, and welcome to First Republic Bank’s second quarter 2011 conference call. Speaking today will be the Bank’s Chairman and Chief Executive Officer, Jim Herbert; President and Chief Operating Officer, Katherine August-deWilde; and Chief Financial Officer, Willis Newton. Before I hand the call over to Jim, please note that any forward-looking statements made during this call are made as of today and are based on management’s current expectations and are subject to risks, uncertainties and assumptions. Potential risks and uncertainties that could cause the Bank’s business and financial results to differ materially from these forward-looking statements are described in the Bank’s periodic reports filed with the FDIC including the Bank’s current report on Form 8-K filed today. In addition, some of the financial informations discussed in this call includes non-GAAP financial measures. The Bank’s earnings release which was issued this morning and is available on the Bank’s website presents reconciliations to the appropriate GAAP measures and explains why the Bank believes such measures are useful to investors. And now, I’d like to turn the call over to Jim Herbert.
James H. Herbert: Thank you, Dianne, and thanks to everyone for joining our call today. Overall, the Bank had a very successful and consistent second quarter. We are at or ahead of our expectations in many respects. In particular, we had a very strong loan origination quarter. This first year of our independence has been very successful and we are quite pleased. Very importantly, the credit quality of our loan portfolio remains quite strong. Our particular client segments in our urban coastal markets continue to perform relatively well economically. In summary, for the quarter, diluted earnings per share as reported under GAAP were $0.64 compared with $0.67 for the prior quarter. If you remove the one-time items from each quarter, diluted EPS was $0.66 during the second quarter versus $0.65 for the prior quarter. Let me summarize the results of this first year of independence. For the year assets have increased by 17%, loans have increased by 13%. Deposits have increased by 11%. We also have improved the deposit mix; I’ll speak more about this in a moment. Private Wealth Management assets increased by 34% and total loan originations for the year were strong at $8.4 billion. Quite importantly, book value per share increased 21% for the year to $18.03. On another important front, we also continue maintain a very closely matched book from an asset and liability perspective. We continue to reestablish our investment portfolio, which is now 8% of total assets. And our efficiency performance was very satisfactory and remains quite consistent. Our deposit franchise is growing very nicely. In the last 12 months deposits have increased $2 billion to $19.9 billion. Liquid deposits, which include lower-cost checking and savings accounts, have increased by 27% over this one-year period. The growth in liquid deposits has allowed us to pursue a strategy of reducing some of our single products certificate of deposit plans. As a result CDs have decreased intensely causing our overall deposit mix to improve significantly. CDs now represent just 25% of total deposits, down from 34% only one year ago. Generally, deposit trends are positive across all three of our primary deposit gathering channels. In the past 12 months, preferred banking deposits have grown by 19%. Wealth management deposits quite importantly including sweep accounts have more than doubled. Total deposits in our preferred banking offices, which include most of our certificates of deposits, are up in spite of (inaudible) outflow CDs. Liquid deposits in these preferred banking offices have increased by 20% in the past 12 months, a very strong performance. Our planned expanse of the new preferred banking office remains on track. In the last year we’ve opened one new office, but much for significantly we have signed leases and have underway seven additional locations. We have successfully reestablished our new office pipeline. We expect to open 5 to 7 offices annually in our existing markets with several of these new locations well underway. Now, I’d like to turn the call over to Katherine August-deWilde.
Katherine August-deWilde: Thank you. As Jim, indicated we are very pleased with our second quarter. Total assets are now $23.8 billion, up 6% thus far in 2011. Loan outstandings increased 4% this quarter or by $827 million. Loan originations during the past 12 months were $8.4 billion. Originations were very strong for the second quarter at $2.4 billion, which is our third best quarter ever, and our loan pipeline remains strong. Our four primary markets, San Francisco Bay area, the coastal areas of greater Los Angeles, New York and Boston continue to perform relatively well economically, with particular strength in San Francisco and the Silicon Valley. 35% of our business is located in the three counties of San Francisco, San Mateo and Santa Clara. Home Purchase activity is showing signs of improvement in our market. Approximately 56% of all loan originations for the quarter were home loan origination. I'd like to point out that over half of these home loan originations were for home purchase. Importantly, business loans and lines outstanding are up 7% in the quarter. Commitments for business lines of credit increased approximately 14% for the quarter. We are very pleased with this result, which reflects our increased emphasis in this area. Asset managed or administered by First Republic Private Wealth Management grew substantially over the past year, increasing by 34% to $19.6 billion. Revenue for Wealth Management for the quarter increased to $24.7 million, which is up from $16.9 million for the same quarter one year ago. Over the last year, Wealth and Assets Under Management by First Republic Investment Management were particularly strong growing 48% to $7.9 billion. These are our highest fee earning assets. Wealth Management deposits including these accounts have more than doubled during the past 12 months and they are now $1.6 billion. This newer source of funding, which is diversified and expensive and stable is a very positive result of our expanding Wealth Management business. Now I'd like to turn some comments on efficiency. This quarter our efficiency ratio excluding purchase accounting was 59.1%. We are happy to note that we’ve maintained our efficiency ratio within the range of 58.7% to 59.4% for the past four quarters, while continuing to invest in the expansion of the enterprise. We are continuing to invest in all aspects of our business. It continues to be an attractive time to hire relationship managers and wealth management professionals. First Republic continues to deliver solid performance meeting or exceeding our expectations. We have extraordinary client acquisition opportunities for both individual and business clients. Our lending, deposit and Wealth Management businesses are very strong and client satisfaction remains high. Now, I’d like to turn the call over to Willis Newton.
Willis H. Newton: Thank you, Katherine. Our diluted EPS for the quarter was reduced by $0.02 to $0.64 due to a one-time accelerated stock option expense. The last quarter’s diluted EPS was $0.67 included a $0.02 gain from purchase accounting discounts on loans sold. Adjusted for these two items, our diluted earnings per share from recurring operations were $0.66 this quarter versus $0.65 last quarter. As shown in the table at the back of the release, our core EPS excluding purchase accounting was $0.41 for each of the last two quarters. However, without the non-recurring stock option expense, core EPS for this quarter would have been $0.43. By the way, I’d note that there are no more stock options with the potential for early destine. Our contractual net interest margin remained stable at 3.54% versus 3.55% last quarter. As the quarter progressed, we put cash to work in both loans and investments, which would benefit the bank's net interest income going forward. Under the new rules implemented this quarter, our FDIC insurance cost declined by $4.2 million, as we are now assessed at a lower rate. We achieved this lower calculated assessment rate primarily due to the high levels of our core deposits, the low level of our non-performing assets, and the solid level of our earnings. Additionally, under the new method we benefit from having strong capital ratios and liquidity. We expect our calculated assessment rate to remain at this new lower level. Also we expect to have a tax rate of 36% for all of 2011. This rate results from our continued addition to our tax advantage investments. Now, I’d like to turn the call back over to Jim.
James H. Herbert: Thank you, Willis. To summarize, we’re quite happy with the bank's performance this quarter. Loan growth remains very solid and actually accelerated as we moved through the quarter. The improvement in our deposit mix by reducing CDs will be better for the franchise long-term. We continue to have very clean credit and very strong capital. Earnings are as expected and we are delighted with our overall progress both in this quarter and the – for the first full year of independence. The quarter also produced several other achievements for the bank including our stock’s inclusion in the Russell 1000, 3000 and Global Indices, and the relative weighting of the bank's stock within six Dow Jones indices increased substantially. Most importantly, the credit ratings of the Bank were reaffirmed by Fitch and S&P, with S&P raising our outlook to positive. Moody's also issued a mortgage originator report separate from its credit rating and Fitch had awarded First Republic its highest rating level. That's a quick summary of the quarter. We thank you very much for your continued support of First Republic. And now we’d like to open the call for questions. Operator?
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) And our first question comes from the line of Steven Alexopoulos with JPMorgan. Please go ahead.
Steven Alexopoulos: Hey, everyone.
James H. Herbert: Hello, Steve.
Steven Alexopoulos: Maybe I'll start looking at the pressure on loan yield; I guess they are down about 16 bps in the quarter. If mortgage rates stay where they are today, is there enough pickup in moving cash or securities to keep the NIM above 350, in the second half of the year?
James H. Herbert: We think there probably is primarily as you point out by investing additional cash, but also the mix of the loans, if you heard capital of only about 56% were single family this last quarter. And our mix is shifting a little bit more towards business lending, which has some slightly higher rates on it. But the pressure on NIM from loan rates is really and we stay competitive as you know.
Steven Alexopoulos: Okay, great. And jumping period end loans implies that you had good volumes in June, can you talk about the pipeline of business heading into 3Q?
Katherine August-deWilde: Hi, this is Katherine. The pipeline is quite strong and we're pleased it has been strong for the last six or eight weeks and it continues to be across all of our businesses and all of our geographies.
Steven Alexopoulos: Okay, great. May be just final one, the provision seem very high relative to book loan growth. Can you may be give some color on why the need for such a high provision and how we should be thinking about this for the rest of the year?
Willis H. Newton: Yes, hi, Steve, this is Willis. The provision as you know is related to the net new loans that grow, that we originate during the quarter, we have record loan volume and that line grew at $1.9 billion and we provided about 55 to 57 basis points on those loans.
Steven Alexopoulos: Okay. On the gross production. Yeah, okay, thanks.
Operator: Thank you. And our next question comes from the line of Joe Morford with RBC Capital Markets. Please go ahead.
Joe Morford: Thanks. Good morning, everyone.
James H. Herbert: Good morning, Joe.
Joe Morford: You saw some pretty significant improvement in your deposit mix again with CDs running off and being replaced by more liquid accounts, but the cost to customer deposits was actually unchanged again at 44 bps. And it was up pretty much, reached the floor now and do you see much further opportunity to rundown CD balances?
James H. Herbert: The answer to the first question, which is whether it’s out at floor, I think it's pretty close to a floor. We might do a little better as some of the CDs run-off with older higher rates, but as they diminish as a percentage of total, the impact of that likewise diminishes. What we did was not just sort of lot CDs run-out, but it was more selective than that might imply. What we have been doing as we do around the business from time to time as we look at the make-up of CDs and focused on those households that had only CDs with us, and attempted to convert them into multi-product clients, we were actually fairly successful on many cases. Those cases where we were not successful we down priced CD-only pricing, and that has worked to selectively pull out various single product clients, which we find particularly attractive as a process.
Joe Morford: Okay. And I guess as a follow-up, the end of period loan to deposit ratio is now up to about 99%. And I was just curious if that was much of a concern for you, as it regulated at this point and also saw you added a couple $100 million more in FHLB advances, should we expect more that in the coming quarters?
James H. Herbert: Well, the ratio is not a particular concern, we’ve operated at those levels historically and we don't have any reason to believe it's a concern for the regulators as either. You should expect to see ongoing use of term fixed rate FHLB draws as we use them to continue our asset liability matching. That's – as you know, we take a very incremental approach to that. We do it all the time, we think about it regularly and just inch our way into a position rather than any big startling moves.
Joe Morford: Okay, great. I appreciate Jim.
James H. Herbert: Thanks.
Operator: Thank you. And our next question comes from the line of Aaron Deer with Sandler O'Neill & Partners. Please go ahead.
Aaron Deer: Hi, good morning everyone.
James H. Herbert: Good morning, Aaron.
Aaron Deer: Hey, Katherine, I was wondering if you could talk a little bit about your success in terms of recruiting efforts, it sounds like there is kind of quite a bit of branch additions throughout the year and I'm wondering how that process is moving along and what we should expect in terms of compensation costs. It looks like there were fairly flat sequentially when you back out the options expense. I'm just wondering what we should look for in that way?
Katherine August-deWilde: Thank you. We have been very successful and continue to be very successful hiring top producers, in terms of our Relationship Manager hiring that is ramping up very nicely in all of our markets. And in the third quarter we would expect the compensation cost to be about where it will be in terms of new hires, who are not yet fully productive, because they had so recently joined us. In terms of the Wealth Management professionals, we did quite a lot of hiring in the first two quarters of our independent, and so now we will be now at a more normalized run rate with fewer professionals who are not yet fully engaged, fully productive.
Willis H. Newton: In terms of the offices Aaron, we would expect to open in the next 12 months, four or five that are underway and we have as I think we indicated about seven leases, new leases signed and then processed. Our backlog for opening for the next two, sort of 12 month periods, looks to be about four or five per period, in our markets we’re strictly inside our markets, we’re not going down to new territories.
Aaron Deer: Okay. And then I guess then with the expense things, Willis, there were a couple items kind of a sublimes, but I was a little bit curious, one was on Information Systems, it was up a bit, I'm wondering if that’s now at a new run rate and then the same for the other expense line?
James H. Herbert: We would expect the IT cost to continue to ramp up as we play a little bit of – that’s not so much to catch up, but we're working on technology to guide our efficiency and our productivity. In terms of the other expenses, the contributors to other expenses included the hiring of new people, it included some higher loan related cost on the higher volume. And we also had some costs, higher costs from the liquid deposit growth in our client activity. We also incurred last quarter $500,000 one-time income item from Bank of America.
Aaron Deer: Okay. So, it’s reasonable to expect that number to then drop back down to some degree?
Willis H. Newton: I think it will vary with business activity, but it might have been a little high this quarter.
Aaron Deer: Okay, that's helpful. Thank you.
Operator: Thank you. And our next question comes from the line of Chris Mcgratty with KBW. Please go ahead.
Christopher Mcgratty: Good morning, guys.
James H. Herbert: Good morning, Chris.
Christopher Mcgratty: I wonder if you can talk about the rate on new production of [5One arms], what’s the loan yields be in front the books yet?
Katherine August-deWilde: The loan yield is depending on the client’s relationship with the Bank and how much they have with us, it is in the mid 3s.
Christopher Mcgratty: You know, it’s closer to four last quarter?
Katherine August-deWilde: No, it's been mid 3s for a couple of quarters.
Christopher Mcgratty: Okay. And then on the loan pay-offs, I think it was about $700 million or so in the first quarter. What was that number this quarter, maybe you can speak in prepayment rates?
James H. Herbert: The prepayments fees declined a little bit this quarter from about 18% down to 16%. That translated into a little over $100 million less of balance sheet repayments.
Christopher Mcgratty: Okay, great. And then lastly on the expense and the efficiency guidance, you guys talked about the stability in your efficiency ratio, but balancing that with the investment in the franchise, should we assume – I think you’ve been guiding to high 50s, low 60s, is that still fair or is that – can we see a little bit of improvement kind of as the year kind of comes to an end?
Katherine August-deWilde: We're actually very comfortable in the range we’ve been operating and in fact without the incremental $0.02 a share from the accelerated option exercise, it would have been 57.3% this quarter. We expect though the 58%, 59% to be very well within what we can achieve.
Christopher Mcgratty: All right, thanks. That’s helpful. Thanks a lot.
Operator: Thank you. And the next question comes from the line of Christopher Nolan with CRT Capital. Please go ahead.
Christopher Nolan: Hi, thanks for taking my call.
James H. Herbert: Hi Chris.
Christopher Nolan: Hey. A quick question. The investment to the held-to-maturity portfolio is, where should we expect that to continue to grow because I thought the focus is going to be more in available-for-sale in the second quarter and going forward?
Willis H. Newton: The investment portfolio primarily in the held-for-sale is where we place the longer-dated muni securities and we have continued to add a bit to that. We will not add as much going forward as we did in the first 12 months of our existence.
Christopher Nolan: All right. But you still keep incrementally adding to it?
James H. Herbert: Yes. Our available sale is up in the quarter that’s where most of the growth was in a variety of securities.
Christopher Nolan: And then looking ahead to the third quarter, given that balance sheet growth was fairly flat given the drawdown of CD, should we expect a catch-up in terms of accelerating balance sheet growth in the third quarter or should we expect further drawdowns in the CD balances?
James H. Herbert: The balance sheet is likely to grow a bit more in the third quarter than it did in the second. The majority biggest hit on the CD drawdown is probably behind us.
Christopher Nolan: All right. And then I guess finally what will be the impact to the diluted share count following the secondary offering for the third quarter?
Willis H. Newton: The secondary offering will not have a significant impact on the diluted EPS denominator at all. But if you look at the trend of the first quarter to second quarter, our EPS share count grew about $500,000. As long as the share price remains relatively in a narrow range, we would expect the denominator to increase $400,000 or $500,000 per quarter.
Christopher Nolan: Any visibility you can provide in terms of further share sales by your insiders? I mean, what I mean by insiders I mean the private equity holders and so forth?
James H. Herbert: Well, we can’t really comment on that at this point because we don’t know, it’s really their call.
Christopher Nolan: Great. Thank you for taking my questions.
Operator: Thank you. And our next question comes from the line of Erika Penala with Bank of America/Merrill Lynch. Please go ahead.
Erika Penala: Good morning, guys.
James H. Herbert: Good morning, Erika. How are you?
Erika Penala: I’m doing well, thank you. I just wanted to follow-up on the question with regards to balance sheet growth going forward. You mentioned on the CD side that the level of attrition will taper off, would you also consider accelerating your pace of draw in terms of the FHLB advances?
James H. Herbert: We probably wouldn’t accelerate it Erika, but we certainly will be drawing in an orderly fashion to maintain a matchbook, which if you look at the last couple of quarters had been kind of a $200 million to $300 million per quarter draw rate.
Erika Penala: Okay. And Willis, if I go through and dig in, until now our average balance sheet model, some of the end-of-period movements with regards to your cash deployment and I assume the same level of downdraft in terms of loan yield and of course the reinvestment rate on the cash is lower. I’m getting to a core margin in the mid-three sixes, is that reasonable to assume for the third quarter?
James H. Herbert: Erica, that is a result of your modelling, some of the investments that we have put out had been in treasuries and agencies and had slightly lower yields. But we would expect it to have a margin. We would hope the net interest income will be higher regardless of where the margin comes out.
Erika Penala: Okay. So to your bottom line is it the reinvestment rate, the reinvestment rate paired with potential more downdrafts in the loan yields make that scenario fairly and likely in terms of significant core margin expansion based on the cash deployment?
James H. Herbert: The shift that continues in the lending is the driver really and although the rates in lending are low as we all know, there is certainly an improvement over cash or even the short-term treasury ladders and other things we have done in the shorter-term investments. The real question is the magnitude of the deposit driven growth net from where we are now and/or any draws from FHLB giving us new cash to deploy. We’re cautiously optimistic about the deposit growth.
Erika Penala: Okay. Thank you for taking my question.
Operator: (Operator Instructions) And the next question comes from the line of Brian Zabora with Stifel Nicolaus. Please go ahead.
Brian Zabora: Good morning. My question following up on Erika on the cash, what is the level that you like to keep that cash balance at end-of-period basis? Or maybe I’ll ask that differently, how much more decline could we see in that cash balance?
James H. Herbert: The cash position that we need to sort of operate on a regular basis is in the $400 million to $500 million range.
Brian Zabora: Okay, great. All right. And then just a question on other income, it was down about a half in the quarter, is anything meaningful or anything lumpy in that number?
James H. Herbert: The line item other income is normally about $2.4 million, but in the last three quarters hedge accounting has caused some variances with that. We had about $500,000 of income in the fourth quarter of 2010 and then last quarter as well, which turned around this quarter, however, despite this volatility, we believe that the $500 million worth of interest-rate swaps provide valuable protection against derived in interest rates. And we don't – we can't forecast where that will go going forward, but net-net to-date we are even on heads accounting.
Brian Zabora: Okay. And then just lastly, obviously, very strong loan growth. Can you talk about competition help pricing is holding up in some of the – those P&I and maybe multifamily where you show some good growth?
Katherine August-deWilde: It's a very competitive market particularly competitive in single family, but multifamily is also very competitive. Business lending, there is competition certainly for the client, but it has not really impacted price very much. So we’re still getting the prices and the quality we have always expected. We're doing a bit more of it with more focus on it. Commercial real estate lending, the pricing lead to us recently particularly in smaller buildings, which we tend to lend on had also become increased competitive.
Brian Zabora: Thanks for taking my questions.
Operator: Thank you. And I would now like to turn the conference back over to Mr. Herbert for closing comments. Please go ahead.
James H. Herbert: So, thank you. Well, thank everyone for taking the time. Just a quick summary if I could, obviously our credit risk continues to be quite low. The markets that we’re operating and then the segments we’re operating in continue to perform quite well particularly relatively, but in an absent sense as well in – they seem to be picking up steam. We spent everyday, every week, every month, taking share away from others, successfully so far. The momentum that we have on all fronts is pretty strong, loan growth is strong, liquid deposit growth is strong, wealth management assets are growing very well. Our loan delinquency is not an issue as I said. Margins are holding pretty firm, particularly given the pricing pressure on lending and the efficiency ratio is very much in line, we’re pleased. So with that, we thank you very much for listening on our call today.
Operator: Ladies and gentlemen, this does conclude our conference for today. We thank you for your participation and you may now disconnect.